Moritz Gmeiner: Good morning, ladies and gentlemen. This is Moritz Gmeiner. Let me welcome you to this morning’s conference call on our Second Quarter and First Half Results. As before, Alex will give you an overview of the developments in our business, while Ingo will lead you through more details on our financials. And with that, I would like to turn over to Alex.
Alexander Everke: Thank you, Moritz. Good morning, ladies and gentlemen. I am happy to welcome you to our second quarter 2022 conference call this morning. In this webcast, I will comment on our business before Ingo will guide you through the financials. Starting off with the key results, our second quarter revenues were solid and fully in line with our guidance at €1.18 billion, and the adjusted EBIT margin for the second quarter was 8.8%. To update you on our portfolio realignment integration, I am very happy to confirm that we are moving into the final phase of realigning our business portfolio via the previously described disposals. At the same time, our other integration programs for systems and processes are progressing to plan. We announced two disposals in the second quarter. The architectural lighting business, Traxon and the Digital Systems Europe and Asia business for LED power supplies, which is the last major disposal on our list. In addition, we successfully closed the disposal of the automotive lighting system business, AMLS on the July 1, in line with our plans. This business has been established after dissolving the OSRAM Continental joint venture last fall. We now have only one last smaller scale disposal remaining, which is with an entertainment-related business and we are moving ahead to implement this as well. Next to the disposals, we are strongly engaged in comprehensively focusing and streamlining our portfolio further to fully align with our goals of profitable growth, a very clear R&D focus on defined growth opportunities is central to this approach. Let’s now take a look at the development of our business. We can report a solid performance of the group in a complex environment. Ongoing imbalances in semiconductor and other supply chain continued to impact volumes in several of our end markets, amplified by lockdown related effects in Asia and importantly, China. In light of this situation, our business again realized a robust operational performance in the quarter. We mentioned imbalance in our sector continue and we have started to see a less favorable market situation emerge as we moved into the current quarter. In our view, this is driven by increasingly unfavorable global macroeconomic trends and related challenges for our sector. Moving to our segment performance in the quarter, the Semiconductor segment provided the largest part of revenues at 68% of total. This is a slight sequential increase, which underlines the segment’s solid performance. The segment’s automotive business delivered positive results in a market where end-to-end supply imbalances caused reductions in OEM production volumes. This constrained situation was fully further impacted by lockdown-related repercussions in Asia during the quarter. We continue to manage our automotive supply chain well in the situation, realizing high-volume shipments from a variable backlog. At the same time, market and design traction for automotive lighting innovation such as wires, highly pixelated front lighting and new sensing such as in-cabin monitoring and sensing continues to be very positive. The segment’s consumer business offers a solid performance in the quarter, which was in line with expectations. Seasonal effects in certain segments were intensified by lockdown-related impacts in Asia, which are influencing OEM and end market demand. This created a less favorable demand situation, especially in the Android market with lower global smartphone shipments year-on-year. Our consumer business serves a broad range of leading OEMs for multiple device types and smartphone marketed segments. It continues to be driven by a range of optical solutions for display management, camera-related and other sensing applications, which include user interface and detection functions. We are seeing strong customer traction in design-in activities for our innovation roadmap and future programs. I am particularly excited about our robust customer engagement around the cutting-edge capabilities we create through the investment in 8-inch manufacturing capability for LED and particularly microLED. We are realizing an industry-leading technology offering for next-generation products and are confident about the strong position we hold in microLED. I am also happy to say that we are on track to realize an expected positive development of our market share in the consumer market in 2024, also related to sensing applications. So we are solidifying our consumer products and design win pipeline in line with our plans, which supports the business targets and goals we have laid out. The Semiconductor segment, Industrial and Medical business continued to perform well and achieved attractive results in the quarter. Demand for established and emerging LED lighting for industrial users remained robust across major markets, augmented by solid contributions from Industrial and Medical Imaging. As an example, our industrial imaging products and medical imaging solutions see ongoing very good traction across world regions while our latest imaging products and upcoming technologies receive high early interest form major OEMs. The Lamps & Systems or L&S segment provided 32% of revenues and recorded an in-line performance for the quarter. The L&S Automotive business, including legacy traditional lighting tracks to our expectations in Q2. This development was driven by further automotive supply chain volatility and imbalances and the stronger seasonal slowdown in the aftermarket. The other L&S business provided solid contribution from their industrial building related and medical markets in line with demand trends. Let me now come to the outlook for our business and guidance for the third quarter. Our expectations for the third quarter reflect a more demanding situation in key end markets and a more unfavorable macroeconomic environment, including cost pressures and inventory adjustments we expect in our industry. We are seeing reduced automotive production volumes and lower total smartphone volumes year-on-year, specifically in the Android market. These result from supply chain constraints as well as a less favorable momentum in customer demand that includes further lockdown-related impacts, particularly in China. In light of these developments and based on current information and exchange rate, we expect third quarter group revenues of €1.15 billion to €1.25 billion, unchanged at the midpoint from the second quarter. This expectation includes a revenue deconsolidation effect from the closing of the disposal of the automotive lighting systems business, AMLS. The effect reduces expected third quarter revenues by around €40 million. So this means a comparable portfolio revenue range of €1.19 billion to €1.29 billion. Our outlook also includes deconsolidation effects from disposals when compared to the same period of last year. While expected revenues show a solid development, the mentioned end market trends caused decreased production volumes in our manufacturing operations in the third quarter, negatively impacting group margins. We, therefore, expect an adjusted operating margin of 6% to 9% for the third quarter based on currently available information and exchange rates. In light of the macroeconomic trends, we are proactively implementing a range of cost mitigation measures while we manage through the evolving market environment. With this, I would like to hand over to Ingo.
Ingo Bank: Yes. Thank you, Alex and a very good morning to all of you. Thank you for joining our call today. Before I start going through the numbers, a few things upfront. When we refer to adjusted financial metrics, we refer to adjustments for M&A-related transformation and share-based compensation costs as well as results from investments in associates and sales of the business. You will find a reconciliation to the IFRS basis of the presentation made available on our Investor Relations website. Now let’s take a closer look at some key financial metrics for the second quarter and the first half of 2022. I’m now on Page 15 of the presentation. As pointed out by Alex, with revenues of €1.18 billion and an adjusted EBIT of 8.8%, we came in as guided for. Adjusted gross margin was 31.6% in the quarter, in line with our expectations. Net income, as adjusted, was negative with €54 million, also due to a significant onetime tax expense in the context of the gain on the complete Fluence divestment. Operational cash flow was €100 million or 8.5% of revenue and net debt stood at €1.73 billion better and lower than previous quarter. Overall, leverage stood at around 1.86x as per the June 30, 2022. Moving to revenues on Slide 16, revenues for Q2 2022 were 5% lower sequentially, driven largely by seasonal effects, particularly in our automotive business, amplified by additional impacts resulting from zero cohort policies in China. Portfolio deconsolidation effects accounted for 1.6% of the nominal sequential change. When comparing to the same quarter in 2021, portfolio deconsolidation changes accounted for €78 million of the difference in absolute revenue year-over-year. A like-for-like portfolio comparison would translate into a 2% nominal growth year-over-year. Moving to the revenue distribution on the next slide, Automotive revenues contributed 40% to group revenues in the second quarter; Industrial and Medical 36% and consumer 24%. Our semiconductor segment generated 68% of the revenue in the quarter, Lamps & Systems, 32%. Looking now at the group profitability on Page 18, adjusted EBIT for the quarter came in at 8.8% at the same level when compared to a year ago. Overall, adjusted gross margin was at 31.6%, lower than prior year and prior quarter, largely driven by a less favorable mix and lower volume in our consumer and automotive businesses. At the same time, however, our overall OpEx spending was markedly lower, compensating for the lower gross profit to a large degree. We can also see this positive development now on Page 19. SG&A spend was at 11.5% of revenues, €8 million below the same period a year ago, also reflecting progress with the realization of our synergy and savings plans. R&D spending continued at a rate of 11.6%, but lower in absolute terms, also due to portfolio related deconsolidation changes when compared to prior periods. Turning now to our adjusted net results and EPS on Page 20, the adjusted net result for the group in the first half of 2022 was €48 million. The IFRS reported net result for the group in H1 was higher with €74 million, benefiting, amongst others, from a onetime book gain related to the closing of the Fluence transaction, which has been excluded in the adjusted results consistent with past practice. Adjusted basic earnings per share for the first half of 2022, was €0.18 and CHF0.18 respectively. Let’s now move into the segment results, starting with the semiconductor business of the group on Page 21. Revenues of €799 million in the second quarter for the semiconductor segment were notch up when compared to the previous quarter. Compared to the same quarter a year ago, revenue increased on a nominal basis. Overall, the semiconductor segment delivered 12.2% of adjusted EBIT, lower with 1 percentage point compared to the second quarter of 2021 due to a less favorable mix and lower overall volumes. During the quarter, we saw a solid performance across the segments, Consumer and Industrial business overall, despite ongoing supply-related market imbalances further exaggerated through zero COVID-related lockdowns in parts of China and the implications for both demand as well as supply; first, more meaningful instances of order push-outs signaling expected inventory adjustments in the overall end market value chains likely reflecting a more challenging macroeconomic environment. Revenues for the Lamps & Systems segment were €384 million, 16% lower sequentially, 5% of the sequential decline related to portfolio deconsolidation effects from our disposals. The remaining balance of the decline related to typical seasonal effects in our traditional automotive business, particularly in the aftermarket, where typically Q2 and Q3 are the lowest revenue contributing quarters in a fiscal year. In addition, in this business area, the zero COVID policy related lockdown effects additionally negatively weighed in on the revenue generation in the quarter. Compared to the same quarter a year ago, the revenue impact of portfolio-related deconsolidation effects was approximately €78 million. Adjusted EBIT for the quarter was positive with €6 million lower than previous quarter, reflecting the typical seasonal patterns just described. Overall, adjusted EBIT of Lamps & Systems improved in absolute terms when compared to the same quarter a year ago, largely due to positive impacts from portfolio-related deconsolidations following the successful divestitures over the last 12 months. In the quarter, we saw the successful closing of the Fluence transaction beginning of May and the agreement to sell the Digital Systems businesses in Europe and Asia to Inventronics and the Traxon building lighting business to an Asian industry buyer, which means we are closing in on completing the communicated set of disposals. Moving now on to our cash flow and the debt position of the group on Pages 23 and 24, the group’s operating cash flow was solid in the second quarter of 2022 at €100 million, translating into 8.5% of revenues. CapEx in the quarter was €97 million. For the first 6 months of 2022, total CapEx stood at €210 million or 8.6% of revenues for the group. This is up when compared to the first 6 months of 2021 and in line with our expectations and the plans we have laid out at the Capital Markets Day. Free cash flow in the quarter was slightly positive with €3 million. And for the first 6 months of 2022, free cash flow was positive with €37 million. Moving to Page 24 now. The group’s cash and cash equivalents stood at €1.4 billion at the end of Q2 2022, up €178 million when compared to the end of March. This strong increase is largely due to the substantial cash inflow from the closing of the Fluence disposal. Consequently, net debt reduced when compared to the March quarter and was at €1.73 billion. Overall, this translated into a solid financial leverage of the group of approximately 1.86x at the end of Q2 2022, reflecting a sequential improvement. Consistent with prior communications, we intend to reduce our gross debt position further. We, therefore, expect to retire the dollar-denominated convertible bonds of $320 million as well as a smaller promissory note of approximately €32 million in the course of the third quarter of 2022, which will take our overall gross debt reduction for the year 2022 to over €400 million. This is well supported by our very healthy cash balance. Let me add a few words on our overall debt and financing situation. We have a well layered debt and maturity structure with the next major maturities only coming up in 2025. This situation is further augmented by our fully undrawn multiyear revolving facility of €800 million. In addition, roughly 95% of our currently outstanding debt is based on fixed rates, making us much less susceptible to the rising interest rate environment. So I see ourselves in a very solid position to manage through this evolving market environment. Moving now to the outlook for the third quarter 2022 on Page 25, Alex already gave you the headlines of our Q3 ‘22 guidance with group revenues of between €1.15 billion, and €1.25 billion and an adjusted EBIT margin expectation of 6% to 9%. Let me add a bit more color to it, particularly from the perspective how we see the business moving from the second into the third quarter. We expect revenues to show a solid development. At the same time, we anticipate inventory adjustments in the industry as a result of a demanding situation in key end markets, combined with a more unfavorable macroeconomic environment. This causes decreased production volumes in ams-OSRAM’s manufacturing operations in the third quarter, negatively impacting group margins in the quarter. At the same time, the expectations for the third quarter also incorporates disposal-related deconsolidation effects when compared to prior periods, as Alex already outlined. For reference purposes, when comparing to Q3 last year, the portfolio effect on the top line amounts to approximately €84 million. This means that this amount of revenue was in our prior year Q3 financials, but no longer in our expected Q3 2022 financials, given the deconsolidation that happened since then. As briefly mentioned by Alex, we are proactively implementing cost mitigation measures, including both OpEx as well as cost of goods sold, while we manage through the evolving end market environment. Based on what we see today, there is possible potential for improvement in the margin in the fourth quarter. And with that, I would like to thank you for your attention and open the floor for questions.
Operator: [Operator Instructions] And our first question comes from the line of Janardan Menon from Jefferies. Please go ahead.
Janardan Menon: Hi, good morning. And thanks for taking the question. My first question is on the demand situation, especially in automotive. So just two parts to that question. One is that you are guiding Q3 sort of flattish on sales and – but you are dropping production levels. So does that mean that you are seeing a potential weakening of demand based on your current order book into Q4? And so you’re sort of preparing for that at this point? Or what exactly are the dynamics whereby your sales are flattish and your production is falling in Q3? And just a related question, you’re saying some weakness in your automotive order book, which could reflect inventory corrections on the macroeconomic side. Can you give us a bit more color on where this is coming from? Is it from OEMs across all regions? Is it more specific to a single market like China or something? Any color on that would be great. And I have a brief follow-up after that. Thanks.
Ingo Bank: Okay. Hi, let me take that question. I think the two questions you have actually related to each other. So we are typically monitoring very closely what’s going on in the extended value chains. And as we said, we’ve seen meaningful and elevated pushout levels of orders in the last quarter. And in combination with the inventory levels we see in the value chain, we anticipate that there will be inventory correction. We’ve been here before. I’ve been there before with OSRAM, also given the position that we are in, in the value chain, and we do see some changes in customer behavior, and we do see it not just coming out of one region, but we see it actually also in some other parts of the world as well. So therefore, we are adjusting also the production volumes in the third quarter. So these two are clearly linked to each other.
Janardan Menon: And the fact that your sales are still holding up in Q3, while your production is dropping, how should we read that? Is it just that you want to reduce inventory levels internally at this point in time?
Ingo Bank: Well, obviously, our revenue base is not just automotive based. It’s also – there is the consumer and industrial medical part in there. That’s one. The other thing is we should also not forget there is the foreign exchange environment is a bit different in the third quarter as it was in the second quarter. So there is also some foreign exchange effects in here as well. So I think what I said for automotive is very much also reflected in the revenue base.
Janardan Menon: Got it. And then just – can you just elaborate a little bit on the sensing win in 2024? Is that a smartphone-related win? And can you give any further detail on what area of sensing it might relate to?
Alexander Everke: Yes. Thanks for the question, Alex here. So I can’t go into the specifics. But certainly, you could easily imagine if you want to turn around the market share into a very positive spirit. Then it has to be in the market, which is the largest one, which is platform obviously. And certainly, it has to be meaningful design wins to drive market share improvement we are seeing for 2024. So we are very happy that our plan we put together, we can execute timely, and we predict high volume in this area.
Janardan Menon: And this is not in any way related to the microLED production, there is two completely different things.
Alexander Everke: Yes, you’re right. That’s completely different. We are positive, as you mentioned, on microLED, but that’s one to reverse the market share development into a positive one is related to sensing.
Janardan Menon: Understood. Thank you very much.
Operator: Our next question is from the line of Adithya Satyanarayana Metuku from Credit Suisse. Please go ahead.
Adithya Satyanarayana Metuku: Yes. Good morning, guys. Thank you for taking my questions. Two, please. So firstly, in the press release, you talked about strong engagement on microLEDs. There is recently been talk in the market about Ennostar winning microLED contracts with Apple and with Meta. There is also been talk about Tianma in China setting up a JV with three state-owned enterprises for microLED pilot lines. And when I look at the margins for these companies to have sub-20% gross margins and the reference in microLED will likely increase competition in the space. So can you give us any more color on the engagement you’re seeing and the traction you’re seeing on microLEDs that will help us kind of think about where you are relative to your competitors? And secondly, a question for Ingo, can you remind us where you are in your cost savings trajectory and what is reflected in the underlying OpEx today? And what is yet to come? And what the additional cost savings you’re announcing today will mean in terms of numbers going forward? That would be super helpful. Thank you.
Alexander Everke: Yes. Adithya, let me start with your first question, then Ingo takes the second one. To be very clear on microLED today, we don’t see a meaningful competition in the areas we are playing. That may change over time. But today, we have the very, very clear lead in this technology, not only from the process technology, but also for the design. We mentioned also multiple times that ams-OSRAM is extremely strong and differentiated in the red color microLED. I think it’s also important to recap a bit that when the market talks about microLED, they sometimes talk about different products and different structures of microLED. When we are talking about MicroED, what we are focusing on is very, very small microLEDs, which are necessary for smaller displays. And that is a big advantage we have. And on top of that, we are building the first and only 8-inch wafer fab, which creates also a very strong cost advantage and performance advantages to any other competitor, which may come up over time. And we can clearly say that this is a very complex value chain. So we are delivering and designing, manufacturing one part of the total solution. And there are other stakeholders in the supply chain and the way of working is very intense because every chain and every piece of the chain has to work together to bring a complete solution to the market. And we clearly can say they are very – they are top players of the industry in this value chain, who are working together to make this a success. Then Ingo, maybe on the second question.
Ingo Bank: Yes. And then on the – your questions on the synergies, the savings program. So we are completely on track with what we outlined at the Capital Markets Day earlier this year. The next update we will give is with our Q3 earnings, but I can tell you that we’re completely on track. So that’s going well as planned. There is still some, as I said also, a few times before, there is still quite some operational integration programs ongoing, particularly on the IT side, on integration of our ERP systems, for instance, but that’s all on track, and we’re making the progress that we already outlined also during the Capital Markets Day. On the extra cost mitigation measures, we are obviously looking at cost of goods sold, which is our largest cost area for the company, and we’re also looking at OpEx spend, including R&D. On R&D, the only area where we will not reduce cost, obviously, is microLED because that’s an important priority for the company, but we’re going through these two cost blocks as we speak. And of course, we will be very tight also on CapEx in the environment. So, all of these measures are currently ongoing.
Adithya Satyanarayana Metuku: Got it. Understood. Thank you.
Operator: The next question is from the line of Robert Sanders from Deutsche Bank. Please go ahead.
Robert Sanders: Hi, good morning. Thanks for taking my question. I just wanted to talk a bit about CapEx. I’m not totally clear about what you’re expecting for the year and the next year. So if you could just quantify that, is it €700 million, €800 million a year, that kind of thing? And then within those kind of guardrails, whether it’s €1.5 billion over 2 years or whatever, how much are you expecting to have under kind of committed customer prepayments or kind of under an agreed contract so that you’re kind of de-risking the investment. Thans.
Ingo Bank: So I think we said a few words during the Capital Markets Day around our expected CapEx spending. I believe I said at the Capital Markets Day that we expect CapEx to be around 15% of revenue for 2022. That’s still the expectation. I mean, we just spoke about the 8-inch LED facility that we’re building that is also progressing according to plan. We also made some initial statements at the CNG for 2023. We’re currently, of course, reviewing that. So I don’t want to give you a number at this point in time. But obviously, the priorities that we outlined from a spending perspective overall have not changed. If you look at the strategy that we’re pursuing, but of course, also looking at other things that we might need to reconsider. The customer engagement is very, very tight. That’s all I can say. As you know, we have limitations as to what we can say. I think it’s also important to say that the factory we’re building in Kulim is not just a microLED factory, it’s an 8-inch LED factory. That will also help us to serve the rest of the LED portfolio, where we’ve also outlined our growth opportunities for the years to come. And this is fully supporting the CapEx that we’re spending at this point in time on this particular project.
Robert Sanders: Got it. And the push-outs that you’re seeing in automotive, that won’t affect your – the timetable on the advanced LED, the 8-inch, not the microLED but just the – I mean because presumably, you might have to think twice about adding a lot of capacity at a time if demand starts softening. So is that kind of under review or do you think you’ll just go ahead to – in order to drive a cost advantage?
Alexander Everke: Yes. Alex here. So we clearly need this capacity. We are not talking about adding capacity this year or next year for ‘24. We clearly see that the growth is not only – we talked about microLED a lot, but it’s automotive, it’s industrial for UVC, for horticulture. So because it’s a wafer fab, which is not dedicated to certain products, there is a lot of flexibility and the broad range of portfolio we have, needs this capacity from that timeframe onwards. That’s why we are pursuing with the investment and the buildup of the facility very timely. We are working very hard to hit the timeline we put ourselves on to make sure the capacity is available at that point of time. The other thing let me just maybe add one thing to it is that, obviously, we are building the facility right now. And then if you look over time, there is, of course, certain flexibility depending on how market evolves, how we then install capacity over time. That’s obviously given if you build a new facility.
Robert Sanders: Thank you.
Operator: The next question is from the line of Sandeep Deshpande from JPMorgan. Please go ahead.
Sandeep Deshpande: Yes. Hi. Thanks for letting me on. Two questions, if I may. I want to understand your guidance in lamps & systems. When we look at lamps & systems, the automotive market itself remains strong. So, I want to understand the kind of weakness you are seeing in the automotive market. Consumer market, we have seen the weakness in smartphones and so I understand that weakness you are seeing. Secondly, my question is on the margin guidance into the next quarter. How is that margin, which is guided to be weaker year-on-year divided between consumer and automotive systems, given that – I mean the weakness is in consumer, are you seeing that margin weakness mainly in the consumer side because you should be benefiting from the disposals that you have carried out through the last year on the lamps & systems side? Thank you.
Ingo Bank: Okay. Yes. Hi. So, I think our assessment on the automotive market is probably a bit different from what you just said. I think if you look at constant revisions by IHS on car production volumes this year, including in China as well, very recently, I am not so sure that I would subscribe to that view at this point in time, and it’s also not what we said in the prepared remarks. If you look at lamps & systems, so when we look – talked about push-outs, etcetera, that was true for the automotive business overall, so not just for the LED part of our business. And that’s important. That’s the OEM part. And then on the lamps & systems side, we also, of course, have our – for traditional automotive business, the aftermarket business. And then seasonally speaking, the second quarter and third quarter is always weaker than the first quarter and the fourth quarter in that business. That has nothing to do with 2022 or so that has always been the case, right. And then on the margin guidance for the third quarter, as I have said, we do see, given the market environment, lower production volumes for us in the third quarter. And I do not want to single out whether it’s just automotive for consumers. We see it in a number of production facilities that we, of course, have and that is weighing on the margin in the third quarter because we are anticipating some inventory corrections in the industry value chains that we see and also, we do not see yet that the Android market is coming back in the third quarter.
Sandeep Deshpande: So, I mean a corollary to that, Ingo, would be, do you need to do more in terms of cutting costs or something to be able to reach your goals that you have given for the mid to long-term, given that in Q3, it is reversing from where you were Q3 last year rather than improving?
Ingo Bank: Look, I think we have said as part of the release that we – of course, we proactively look at the environment we are operating in and then compared to what we presented earlier this year, we are now certainly in a slightly different macroeconomic environment. We all are seeing the inflationary situation in the different markets we operate in. And of course, we are taking actions to cost correct for that. We are looking, as I said, we are looking into cost measures across the company, both in cost of goods sold and in OpEx including R&D, as I said, and that’s the work that we currently are ongoing. So, I think that’s just responsible management, frankly speaking, if you are in a macroeconomic environment like this, the targets are still completely intact for 2024, right. So, we just need to deal with a slightly different economic environment right now.
Sandeep Deshpande: Thank you.
Operator: The next question is from the line of Jürgen Wagner from Stifel. Please go ahead.
Jürgen Wagner: Yes. Good morning. Thank you for taking my question. Actually, a follow-up to previous question on the gross margin. We already saw a decline in Q2. Can you quantify the different elements that drove the margin lower already in Q2 and the progression into ‘24? So, that would help. And a follow-up on CapEx, how fixed is your CapEx budget in ‘23, assuming that macro really weakens much further. You mentioned commitments for your new fab in Kulim, but yes, can you move that a bit? Thank you.
Ingo Bank: Yes. Thank you. So Q2, basically, there were some mix elements in the Q2 numbers to something we referred also to earlier, in earlier calls in the consumer business, and we already saw a bit of a difference in production volumes. And I just referred to IHS numbers. And therefore, you have seen a 2-plus. The second quarter always has a lower aftermarkets revenue and aftermarket business for us is quite profitable. And that aftermarket number is typically coming down fairly markedly in the second quarter compared to the first quarter of the year. And then obviously, you see also then reflected in the numbers. So it’s a mix, if you like, and if you want to call it out, that’s a mixed kind of effect, I would call out. On the CapEx side, we look at CapEx always, of course, from a priority perspective. And also when we do have to select and set priorities, we are looking, of course, also how strong customer engagement is and what customer signaling is and Alex pointed to strong customer engagement in a number of areas. And on that basis, we will continue. And in other areas, we also, of course, look at how markets might evolve over time. I think right now, we are in a situation where it’s a bit more demanding than it was maybe six months ago and the macro environment is changing. We have some geopolitical things moving on. And I think we all need to assess that as we go, which we do. We monitor that and then we take the decision over time. But of course, we will be prudent on our balance sheet.
Jürgen Wagner: And then the gross margin progression into ‘24, I mean I think gross margin improvements are part of your mid-term margin target. Is it now becoming more back-end loaded, or would you still see ‘23 up quite a lot?
Ingo Bank: Look, I don’t think we want to give you our guidance about 2023. But of course, we will put the business on a trajectory eventually that we will get to the targets that we have outlined, right. We now have to deal with a slightly different macroeconomic environment, which we are doing. That’s why we are putting the additional cost mitigation measures in place. I mentioned earlier that the synergy generation is on track. So, we have not had any setbacks or so in that area. So, there is a number of things we are addressing to support that. And therefore, we take this obviously, very serious in that situation and addressing the right areas.
Jürgen Wagner: Okay. Thanks.
Operator: Our next question is from the line of Sébastien Sztabowicz from Kepler Cheuvreux. Please go ahead.
Sébastien Sztabowicz: Yes. Hi everyone and thanks for taking the question. General question on the trends for 2023 given the weaker macroeconomic environment, where do you see your semis and lamps & systems trending move into next year? Do you see downward pressure, or do you believe you will be able to stabilize the business moving into 2023? And second question, you mentioned in the press release some robust customer engagement around microLED. What do you mean exactly? Do you have already received some firm orders regarding microLED or not yet? Thank you.
Ingo Bank: Yes. So, I think when you look at the progression and the trajectory of the two businesses, as we said, we now see some changing customer behavior here and there, and that’s also what we reflected in our outlook for Q3 despite the fact that revenue level is still strong and robust. We see here and there changes, and that’s what’s also addressing our production volumes. We said that, so we need to monitor that. I think there is, again, a lot of things we need to look out for. For instance, how the China recovery might be happening towards speed and magnitude after the lockdowns, we need to understand how the consumer sentiment will be in the U.S. for the fourth quarter, which is the typical holiday season. These are all things that are right now something that we need to monitor very closely. But that doesn’t change our strategy or our approach to our business. We will continue to look into our portfolio. We will continue to look at our costs, of course, in that environment. We have not been in this situation if the macroeconomic environment gets more difficult. We have been there before, so we know what we do from that perspective. But again, that doesn’t really change our strategy that we outlined at the CMD, and maybe Alex can then talk about part of that.
Alexander Everke: Yes. On the microLED story, as we described, we have a very strong customer engagement and a strong working environment with all the stakeholders in the supply chain. I think there is not a big difference to any other consumer business regarding order placement, order intake. But as you – and this is still very early, as we mentioned earlier, factory will be ready in the year 2024. But as you may know, we have a pilot line in Regensburg, where we produced already today first products for microLED. And certainly, as you easily can imagine, those products will be validated from stakeholders in the supply chain to validate functionality and performance of the future end products. And for that reason, we are working very close with the stakeholders, validating technology and products and make sure that a functional productive ramp in ‘24 for products out of the factory is possible. And this is not only related to microLED, but also for other entities.
Sébastien Sztabowicz: And one follow-up, if I may. Given the weaker volume environment right now, are you seeing any specific price compression or price erosion right in your two different businesses, LEDs and semis?
Alexander Everke: I wouldn’t say that. I think it’s really, at this point in time, it’s more volume and how the inventory levels in various parts in the world in the change will likely to be adjusted. Just maybe to add and just not to understand, we are, of course, also increasing our own prices, right. So, we have been quite good in doing that so far. We are basically on target what we had put ourselves as an objective for this situation. So – but we don’t see any price erosion at this point in time.
Sébastien Sztabowicz: Okay. Thank you.
Operator: Our last question is from the line of Didier Scemama from Bank of America. Please go ahead.
Didier Scemama: Good morning. Thank you for taking my questions. I have got three quick ones. First, if you could just quantify the FX benefit in Q2 and Q3 guide. Second of all, since your body language seems to be a bit more optimistic on 2024 on this consumer win, I just wanted to just understand that a little bit better. Is it a reversal of a prior loss, or is it sort of a new type of chip, new sensor in a similar end market? And then lastly, given the actions you are taking in terms of cost base, in terms of debt repayment. And as Rob mentioned earlier, your CapEx plan going ahead, can you categorically rule out a capital raise, protect your balance sheet? Thank you.
Alexander Everke: Yes. Alex here, let me start with the first part of your question and Ingo takes second. Yes, certainly, confidence level is certainly increasing. We are clearly seeing that the plan we laid out is we can execute. We are getting more and more proof points that we are completely on the right track to achieve our targets. We can’t go into the details about specific projects, but you can imagine that in the sensing part, when you reverse the market share trend into a positive one, it has to be meaningful volume. And we also mentioned that we have a broad design win pipeline, not only with large projects, but a broader range. So, altogether drives the market share up in a level we plan to achieve for the time from 2024.
Ingo Bank: Yes. And then maybe on your question on capital, as I have said, we have a very strong liquidity position at this point in time. I have got €1.4 billion cash on hand. I have another €1 billion in lines that I haven’t drawn on. So, there is a lot of fire powder that I have, and we have no plans to raise capital at this point in time. And on the foreign exchange question, so the average rate for the P&L for the second quarter was 1.07. And the guidance we gave is based on current market rates.
Didier Scemama: Thank you, guys. Thank you very much.
Moritz Gmeiner: Thank you very much, ladies and gentlemen. This was the last question for this morning. We thank you for joining our conference call on the second quarter and first half results, and we look forward to speaking to you again. Thank you very much and have a good day.